Operator: Greetings and welcome to the EVgo’s Second Quarter, 2021 Earnings Call. At this time, all participants are in a listen only-mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce Ted Brooks of Investor Relations. Thank you. You may begin.
Ted Brooks: Hi everyone. And welcome to EVgo’s second quarter 2021 earnings call. My name is Ted Brooks and I head up Investor Relations at the company. Today's call is being webcast and can be accessed from the Investor section of our website at investors.evgo.com. The call will be archived and available there. And the company's results, investor presentation, and a transcript of today's proceedings will be available at the Events and Presentation section of the investors page after the conclusion of today's call. Joining me on today's call are Cathy Zoi, EVgo’s CEO; Olga Shevorenkova, the Company’s Chief Financial Officer; and all the members of the EVgo’s senior management. Today we will be discussing EVgo’s latest financial results for the second quarter of 2021, followed by a Q&A Session. During the call management will be making forward-looking statements regarding the 2021 fiscal year and our outlook for expected growth and investment initiatives. These forward-looking statements involve risks and uncertainties, many of which are beyond our control and could cause actual results to differ materially from our expectations, including among other risks and uncertainties, the severity and duration of the effects of the COVID-19 pandemic. These forward-looking statements apply as of today, and we undertake no obligation to update these statements after the call. For a more detailed description of factors that could cause actual results to differ, please refer to our Form 8-K filed with the SEC today and posted to the Investor section of our website. Also, please note that certain financial measures we use on this call are the non-GAAP basis, for historical periods, we provide the reconciliations of these non-GAAP financial measures to GAAP financial measures. With that, I will turn the call over to Cathy Zoi, EVgo’s CEO. Cathy?
Cathy Zoi: Thanks, Ted. I'd like to welcome everyone to today's second quarter of 2021 results call. Whether you're a current shareholder or just interested in learning more about EVgo’s business and our role in the growing electrified transportation sector, we've got a lot to share with you today. This is the first time EVgo is reporting results and sharing our outlook since we commenced trading at EVgo on NASDAQ on July 2 after completing our business combination, the climate change real impact solutions or CRIS. I know I speak for the entire team at EVgo when I say how pleased we are to be here and how excited we are to be able to discuss the growth and new developments at EVgo. During the second quarter of 2021, we achieved growth across all EVgo segments. We deepen relationships with our core partners and we cultivated business with new ones. The backdrop for EVgo’s success and exciting growth trajectory is a rapidly transforming transportation sector. As the electric vehicle industry continues to experience unprecedented growth and a supportive policy backdrop, both in Washington and at the state level in the U.S. and indeed around the globe. EV sales were brisk in the first half of the year with over 200,000 EVs sold in the U.S. through June. About one third of 70,000 of which we estimate were non-Tesla vehicles reflecting, increasing adoption and additional vehicle options available to drivers. EV sales in the U.S. for the full year are expected to continue to accelerate driven by long-term industry growth fundamentals. First, OEM commitment. Globally, the auto industry has reached a crucial tipping point in its support for the electrification of the transportation sector. This is translating to meaningful financial support with an estimated $330 billion of investment in bringing EVs to market over the next five years. The second significant tailwind is favorable regulatory dynamics. President Biden has announced an executive order aimed at making half of all new vehicles sold in 2030 zero emissions vehicle. Additionally, policymakers are working hard in Washington on proposals that will provide billions of dollars to support charging infrastructure and consumer purchases of EVs. And third shifting consumer preferences, according to a Harris poll conducted in July, 48% of Americans said they would consider purchasing an electric vehicle today. And that figure is up from 37% in just April of this year and up from around 20% in 2017. Related to this strength of the EV market, EVgo added approximately 35,000 new customer accounts during the second quarter and more than 53,000 new customer accounts year-to-date. EVgo’s customer account number now exceeds 275,000, further driven by the factors of a reopening economy, the march of EV adoption in both the retail and fleet segments and new take or pay arrangements with some of our fleet customers, EVgo realized kilowatt-hour network throughput growth of 48% sequentially and 125% versus the prior year quarter. During the second quarter of 2021, EVgo commissioned 104 news charging cells, representing an approximate doubling at our first quarter of 2021. Operating is 68 metro areas and in 35 states, EVgo’s total fast charging stall count at the end of the second quarter was 1,548. EVgo continues to execute on its robust stall, build out plan, identifying locations that will deliver our targeted financial returns. Today we have more than 2000 charging stalls in what we refer to as the active engineering and construction or active ENC pipeline, representing strong visibility into further stall growth. Roughly 85% of the asset ENC pipeline stalls are located within the top 20 U.S. metropolitan markets. And majority are part of the GM EVgo partnership to deploy 2,750 fast charging stalls by 2025. By definition stalls were added to our active ENC pipeline only after undergoing a rigorous evaluation process, at which point we have a high confidence in station completion and EVgo begins investing capital into those projects. Upstream of Active E&C is a pipeline of literally tens of thousands of prospective station locations that EVgo has identified across the U.S. and meet the needs of the rapidly expanding EV market. We're working closely with others in the charging ecosystem, retail and municipal site hosts, electric utilities, local government permitting authorities and OEM and state government funding partners to create a charter deployment flywheel that positions the industry to rapidly advance from station concept to energization. While it takes EVgo just four to eight weeks to actually construct a fast-charging station, the typical all-in timeline to end-to-end station deployment can take from nine to 24 months, allowing for interactions and sign-off by hosts, utilities and government permits. To help confess project development timelines, EVgo kicked off an initiative in April called “connect the watts” in which we are providing a forum for stakeholders like site hosts and utilities to share best practices on charge of deployment across their jurisdictions. Collectively, we're aiming to achieve ideas to energization timelines that are more efficient and hence meaningfully shorter, possibly removing months or even quarters from the timeline, once that fly wheel is really spinning. EVgo’s market leadership and public fast charging for the retail market has given the lives to expanded work with both existing and new partners as the base of EV applications extends across new segments of the transportation sector. Our recent development I'd like to highlight here is the mid-July announcement that EVgo was chosen by GM to serve as a preferred charging provider for its Ultium Charge 360 fleet service. GM is, in its own words, expanding its Ultium Charge 360 solution to fleet customers in an effort to make it easier for fleets to switch from internal combustion to all electric offerings. Well like GM, we believe that fleet adoption of electric vehicles is crucial for reducing transportation, carbon emissions. And hence EVgo is offering a suite of solutions for the emerging fleet segments that are tailored to meet individual fleet customer needs. EVgo is proud to be partnered with GM on fleet and proud to deepen and broaden our GM relationship beyond expansion of the public retail network I just described. The strength of the GM-EVgo partnership is sounded on a shared philosophical and commercial commitment to electrification of transportation and zero emissions vehicle. As another example of market expansion into fleet EVgo has now contracted with two leading autonomous vehicle companies to provide each with dedicated, fast charging sites away from their home base of operations. This is important for several key reasons. First, dedicated charging depots will allow those autonomous vehicle companies to quickly charge and recirculate vehicles in the cities where they're commencing operations. Similar to the used profiles of the rideshare vehicles that EVgo has served for years, self-driving vehicles are utilized in very high mileage situations, often more than 7 times the vehicle miles traveled per annum than a privately owned car. Second, EVgo’s momentum in serving autonomous vehicle companies illustrates the value we see and being a first mover and trusted partner to those companies who like us are unlocking new norms of operating for 21st century electrified transportation. In order to the dynamic that benefited the EVgo network with the addition of rideshare, we expect autonomous vehicle activity to turbocharge throughput growth on EVgo’s network, given AV’s higher mileage patterns compared to everyday drivers. The third reason that the business with these autonomous vehicle companies is important is that the contract structure includes take-or-pay arrangements that provides a revenue minimum to EVgo in exchange for a guarantee of exclusive charging assets, increasing those certainties and reducing risks for both parties as the self-driving market continues to expand, a true win-win. And finally, I'd note that the sector is just getting moving. Autonomous vehicle fleets are starting off in dense urban areas with supportive regulatory backdrops. The industry's high rate of growth is forecasted to continue more broadly once certain critical technological and consumer thresholds are reached. In July, EVgo also announced a deal to acquire e-mobility software company, Recargo, for $25 million. I would like to highlight several key aspects of this acquisition that we're most excited about. First, the purchase reflects a highly strategic and logical extension of the efforts already well underway at EVgo to create value-added software and data-driven ancillary services. Recargo’s robust software offering, unmatched customer reach and product development pipeline are well aligned with EVgo’s vision and growth. Second, Recargo was a well-established platform that serves as the go-to for so many drivers in the industry. Recargo was founded in 2009 and will be known to most of you through its PlugShare offering. Globally, PlugShare has 1.6 million users and 3.3 million app downloads with coverage of more than 61,000 Level 2 and fast-charging stations in North America alone. Users share crowdsource reviews, photos and data, helping the whole EV community to facilitate communication and understand and address drivers’ needs. Its emergence and growth over the last several years provides a clearing house for communal insights that helps drivers optimize their experience and charging network operators to improve their services. The third thing we're really excited about Recargo is Pay with PlugShare. This proprietary application developed by Recargo allows for seamless payments across multiple charging networks to expedite and improve the charging experience for EV drivers. EVgo will be moving quickly to adopt Pay with PlugShare on our network and we'll encourage other charging networks to do the same. We’re keenly aware of the important role that PlugShare platform plays within EV ecosystem. And we're committed to maintaining the integrity and independence of the platform for drivers, charging network operators and automakers. EVgo will ensure that driver and operational data remains unbiased and secured. We will also be enhancing platform features and improving transparency for all parties, including for example, publishing the PlugShare algorithms to charging network companies. EVgo is steadfastly committed to enabling the rapid development of the EV sector and the integrity of a platform such as PlugShare is essential to those efforts. The final development I'd like to share relates to EVgo’s technical leadership. We built the EVgo Innovation Lab and advanced technical laboratory to test, validate and certify charging equipment for safety, performance and user experience. Doing this successfully requires rigorous testing of both hardware and software components of the chargers. We design, prototype and test all applicable national and international automotive standards for safety, efficiency, performance and user interfaces and interactions. We test for and then ensure seamless interoperability between chargers and the EVs themselves, including models that are in operation now and those in pre-production. The EVgo Innovation Lab enables the entire industry to anticipate and remediate technical challenges inherent to young, fast moving sectors, and the positions EVgo to lead the industry in specifications for the next generation of charging equipment and software. We provide this valuable information to EV OEMs and charger manufacturers for free. And then we work together with all parties to address these issues before they impact customers. In summary, EVgo’s mission to speed the adoption of electric vehicles through the investment in charging infrastructure is progressing at an accelerating pace. EVgo’s build, own, operate business model has equipped us with the experience and insight to be a market leader. It would be a provider of first resort to the rapidly expanding EV market. While retaining a relentless focus on financial discipline as we invest capital, we're able to offer new and emerging EV segments charging solutions that meet their particular needs. These include DCFC or Level 2 or a combination of charter types. They include use of the EVgo public network, dedicated depots or both. They include EVgo owned assets, charging as a service or white label services. We've also cracked the code on keeping the most expansive fast-charging network in the U.S. operating at 98% uptime, a key element of the customer experience in retention. We’ve built the EVgo Innovation Lab, which has become a trusted go-to resource for automakers to test their new EV model on different types of chargers. We've pioneered a best-in-class, power-sharing and power-routing configuration for our fast chargers. We’ve integrated proprietary software functionality that can drive margin expansion and delight EV drivers via reservations, driver coupons, loyalty rewards, and behind parking garage pay dates. We've been a reliable partner for state and local funding agencies to delivering on our commitments to the poor chargers and offer electric for all. And thus we've earned the trust of industry participants across the board. I'm proud to be at the helm of such a company and working alongside a truly world-class leadership team. EVgo will continue to offer the growing days of EV drivers and sellers, convenient and reliable charging infrastructure where they want it and when they want it, all while making an outsized contribution to addressing climate change. With that, I'll turn it over to Olga to go through some of the particulars in the quarter and our outlook.
Olga Shevorenkova: Thanks, Cathy. First and foremost, I would like to highlight that upon the completion of the business combination with CRIS on July 1, EVgo received net cash of $573 million, which will enable us to fund our strategic plan going forward. As Cathy noted earlier, we're pleased to report solid results for the second quarter of 2021, including strong growth in customer accounts, network throughput and revenue. Please let me take you through some of those numbers and discuss how they support our outlook for 2021. As Cathy mentioned, we saw 48% quarter-over-quarter growth in kilowatt-hour network throughput during the second quarter of 2021, and 126% growth year-over-year. Retail and fleet, both benefited from a continued reopening of the economy and strong EV sales. Network throughput was ahead of our forecast for the second quarter and the first half of the year. And we remain on track to achieve our full year 2021 network throughput target of 24 gigawatt hours. Revenue exhibited similar growth trends. Partially, we saw a 16% increase in revenues. With this Q, we remain on track to achieve our $20 million revenue target for full year 2021. Adjusted gross loss, which does not only include energy usage fees, but also fixed costs such as the operational and maintenance expenses, call center and site leases was negative $61,000 for the quarter, equating to a margin of negative 1.3% for the quarter, up 260 basis points from negative 3.9% in the first quarter of the year, driven by improved energy costs per kilowatt-hour due to battery leveraging of demand charges. EVgo dedicate considerable resources internally to making our operations more efficient while continually striving to reduce costs. One of the bigger component of our cost base is energy related expansions by working with our utility partners to improve rate design, to better match the EV charging use case. For instance, by limiting or eliminating demand charges were able to improve our energy cost. EVgo was able to shift our California stations away from tabs with demand charges across three major corresponding utility territories, two of them in the last 18 months. General and administrative expenses increased to $12.2 million in the second quarter of 2021, compared to $11 million in the first quarter of 2021 and $6.8 million in the second quarter of 2020. The increase is in line with EVgo’s expectations, and primarily driven by the Company’s ongoing growth investments. Adjusted EBITDA for the second quarter of 2021 was negative $11 million, compared to negative $9.8 million in the first quarter of 2021. Cash flow from operations for the first half of 2021 was negative $1.4, which is $14.4 million higher than during the comparative period in 2020, driven mostly by OEM partner concept prepayment of $20 million in the first quarter of 2021. CapEx was $23.3 million in the first half of 2021 as compared to $7.7 million in the same period last year. As we continue to accelerate and execute on our stall build plan. Let me take a moment here to emphasize the flexibility of our business model from a financial perspective. Out of the $573 million we have raised, the vast majority are north of $400 million will be invested in building charges stalls. And we have a full discretion over the pace of that capital deployment. We can accelerate charges deployments if the market ramps more quickly. We can also serve capital if market development is for some reason delayed. Remember, each station investment is discrete most are under $1 million CapEx and have lead times of months, not years. Also, as Cathy mentioned previously, we acquired rigorous underwriting criteria to every opportunity. This combination of factors affords EVgo with enormous flexibility to navigate market dynamics and deliver shareholder value. In order to help the investment community fully appreciate our business model and the robustness of EVgo’s process for greenlighting projects, I would like to walk everyone through the unit economics of a typical charging station. As I just mentioned, every single project developed by EVgo undergoes a rigorous underwriting process and is evaluated against preset financial criteria. The model for every single project includes three key elements. First, CapEx, this includes the cost of constructing the site as well as any investment offset such as CapEx consensus from partner contributions, public agencies, and utilities. Second, operating costs, this primarily includes the cost of energy location, but also encompasses non-energy cost such as ramp and maintenance for the site, which as a reminder, all fit in cost of goods sold on our income statement. And third revenue, this includes site-specific revenue forecast based on a detailed utilization model. So let us dig more into each of those elements. First on CapEx, on average, a charging station is comprised of four to six stalls, which means it can charge four to six vehicles simultaneously. CapEx per stall is roughly $110,000, which includes both the equipment and third-party labor bringing all in installed costs to somewhere between $400,000 and $700,000. These figures obviously affected by site layout and equipment. As per investment offset, if we build a stall in partnership with an OEM, for instance, General Motors, our capital outlay may be reduced by up to one-third. In addition, if there are state, local or utility incentives, the initial CapEx may be offset by anywhere from 5% to 10% to over 50%. To make this point again, all of these inputs are known and included in our model when we decide whether to go ahead with the project. On the station cost side, our stalls are subject to commercial and industrial utility tariffs, which vary greatly across geographies and sometimes are subject to demand charges in addition to the volume metric cost per kilowatt hour energy stall. As it stands today, our energy costs range from as little as $0.10 per kilowatt hour to as much as $0.60 and even higher in certain cases. We work actively and we think effectively with the utilities and the regulators to continue reducing these costs. Non-energy costs are most stable and tend to center around $6,000 to $7,000 install per year. These costs include rent, property taxes, maintenance, warranties, third-party software, call center, and other network related costs. And again, as a reminder, all sit inside cost of goods sold on our income statement. Turning to the revenue side. In order to forecast station throughput or utilization, we employed proprietary analytics tools developed in-house. We also use these tools to help identify the best site locations and geographies. We do this in two steps. Step number one, we determined starting for year one utilization using our proprietary machine learning model, which enables EVgo to forecast utilization down to average census block group in the United States with a high degree of accuracy. Step number two, we develop a lifetime station throughput curve using a proprietary market, build out trajectory. It’s relies on EVgo experience and market data on EV sales, average vehicle miles traveled, vehicle efficiency and other factors. Charge rate is an important element in projecting a station’s kilowatt hour throughput. An individual EVs charged rate is the rate at which its battery can take power from the charging network and is entirely driven by its particular battery characteristics. On our network, we see average charge rates close to the mid-30 kilowatt hours per hour range, new vehicle models being introduced over the next several years, we’ll have higher charge rates and expect to more than double to roughly 80 kilowatt hours per hour. These improved batteries mean that EVgo should be able to dispense more kilowatt hours over an equivalent time period. Current public policy initiatives also enhance our operating revenue forecast as carbon reduction standards, federal level benefits and state programs also ways to reduce costs and increase revenues. The low carbon fuel standard in California for instance, has contributed approximately $0.20 to $0.24 of additional revenue per kilowatt hour dispense in recent periods. And similar programs are being contemplated in other states as we speak. Our forecast only include the policies, which are currently in place. If any other programs get enacted, it will represent an upside to our forecast. We hope this helps you understand EVgo’s unit level economics data. Finally, I would like to turn quickly to our 2021 full year guidance. We reiterate our financial and operational forecast communicated earlier this year, including total revenue of $20 million networks throughput of approximately 24 gigawatt hours and adjusted EBITDA of negative $58 million. With respect to operational guidance, we expect to provide our yearend stall count expectations at the third quarter call in November. As Cathy noted earlier, while a large number of EVgo projects have reached the active engineering and construction pipeline stage, where we have high confidence in project completion. There’s still a fair amount of volatility to these timelines, especially around permitting and inspection. We expect to have much clear visibility on this in a few months, our mid-term and long-term, deployment goals remain unchanged. We are closely monitoring recent COVID-19 developments outbreaks linked to the Delta variant and any potential impact on customer activity, supply chain, raw material cost and the overall macroeconomic situation. In general, we’re pleased with our second quarter of 2021 results and how our to-date performance positions EVgo go for the future was in this high growth marketplace. We’ve seen growth in existing and new relationships. We are expanding our product depth and the depth of talent on the EVgo team. And we are executing on our operational and financial plans. With that, I would like to stop there and open up the lines for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of James West with Evercore. Please proceed with your questions.
James West: Hey, good morning, Cathy, Olga.
Cathy Zoi: Hey, James.
Olga Shevorenkova: Good morning.
James West: Hey, so the first question for me is around kind of behavior of EV drivers. Now that you’ve made this acquisition, you’ve got even more data than you already had. I know you guys had an impressive amount of data already. But I think the biggest key to success for especially your business model is this change in behavior to where I as an EV owner I’m topping off or charging that places where I go not charging to go somewhere. I guess, if that makes sense to you guys, are you seeing evidence or have you seen evidence of this behavioral change that we expect kind of start to happen or are we still maybe too early days with penetration.
Cathy Zoi: James, actually we are – we see on our network is that the average charging session people are spending about $8.20. So what that tells us is that they’re not just going all the way down to zero on their battery and waiting and then filling up at the end. They are convenience charging. And one of the reasons and the convenience charging at EVgo, because we’re in places where they’re going to be anyway. So one of the reasons that you see our strategy is going to retail centers is because we don’t feel like charging needs to be a separate special destination. You should be able to charge while you shop or charge while you go to the gym or charge while you’re watching your son play softball. And that’s very much a part of our business strategy. I also remind you that 30% of Americans don’t have access to home charging that EVgo’s main business model does not assume that we’re going to take any market share for people that do have access to home charging. If you’ve got a level two charger in your garage and it’s convenience, you’re going to charge most of the time they’re at home and that’s fine. But what we see is, with a broadening sort of choice of options for purchasing EVs, and the price points that are actually improving for many different sorts of other buyers or lessors of EVs. That many of the demographics are changing. So that those folks, who don’t necessarily have access to home charging also need to charge conveniently way from home. So we’re already seeing that, we’re pretty confident that we’re on the right path here. And as I mentioned in the opening remarks, in our Active Engineering and Construction pipeline, we’re in the top metro areas in the U.S., so we’re going to be where people want to charge.
James West: Right. Got it. Okay. That’s good to hear. And then perhaps, Cathy, on the policy side, the – we have an infrastructure bill that’s now passed, we’ve got reconciliation package that we’re seeing some of the information from understanding that no one’s going to get preferential treatment here on EV charging. But maybe you have some context which you could share, how you think the – this will play out with the Biden administration clearly understanding the chicken and the egg problem and wanting to drive EV adoption via charging networks and how EVgo could fit into that.
Cathy Zoi: Yes. We’re pretty excited about this. I mean, the federal policies that we’re seeing emerging from Washington right now are a big accelerant. And they’re incredibly important. I mean, the UN climate change report of a couple of days ago was the wakeup call for everybody that hadn’t already woken up. And so we’re now needing to move very, very quickly to actually – to accelerate climate solutions across all sectors. And obviously transportation is a big one. So again, look, the conversations that we have both with the administration and on Capitol Hill, it suggests that, this is going to – the support for EVs is going to be in the form of through the infrastructure bill is going to be on the charging part of it. And through reconciliation, we’re going to see more incentives for drivers to purchase EVs and for some other tax credits for the charging infrastructure pieces. So there is a potpourri, if you will, of incentives to accelerate this. On the charting side, they’re probably going to be – is it going to be a combination of support for fast charging and level two, there’s going to be a combination of support for urban and distributed. And there will be some emphasis on making sure that some of that infrastructure money goes into disadvantage communities. And EVgo is like we’ve got experience in all of that and we’re really, really looking forward to participating in it. I mean, I can tell you if somebody who administered over $30 billion of infrastructure money during the Obama administration, there will be – probably this will be done the grants that are competitively secured, much of the money will flow to states. And again, the indications here that they will flow through the State Department of Transportation. And EVgo in our experience to-date in accessing much of the state funding that has come through the Volkswagen’s Dieselgate settlement, we’re very well positioned to be able to compete for and secure and then deliver on those commitments.
James West: Got it, got it. If I guess, one more and Cathy, the – I mean, that makes a lot of sense. I’m excited to see how this plays out. You had the GM relationship, they’ve obviously figured out, they both need to work on their supply chains for batteries and the end game of charging and as partners with you and others. Are there other like-minded OEMs other OEMs that you’re talking to, that you perhaps could have similar type relationships with and announced the coming quarters?
Cathy Zoi: Well, what I can tell you is that we have a great relationship with GM and it just continues to strengthen and broaden, and we’re really, really excited to be partnering with them. We also have an existing relationship with Nissan that’s not dissimilar to GM, but it’s a bit smaller in scale. And on the BD side with other areas, look there’s not an OEM globally, now that’s not investing in EVs and so those conversations are really, really active. I mean, what we’re doing with General Motors to build 2,750 fast chargers by 2025, it’s big, and it’s important, but it’s only a drop in the bucket. So we’re looking for – we’re all ears for working with other OEMs to partner, to get out into more metropolitan areas, to create that comfort amongst the driving public, that wherever they go there’s going to be convenient reliable charging.
Unidentified Analyst: Got it. Thanks Cathy.
Cathy Zoi: Thank you, James.
Operator: Your next question comes from the line of Craig Irwin with Roth Capital Partners. Please proceed with your question.
Craig Irwin: Good morning and thanks for taking my questions. Cathy, the one thing that really jumped out to me in your results was the network throughput 6.1 gigawatt hours, 48% sequential growth. I was hoping maybe we could tease this apart a little bit. When we look at the miles driven data that just came out actually for the whole country, there’s something like 18% miles driven increase, 1Q to 2Q. And then you onboarded a very substantial number of new customers, I think since your SPAC IPO announcement, the number is 55%, that roughly 19,000 to 34,600 1Q to 2Q. Can you maybe comment a little bit whether or not you’re seeing straight out EV growth – EV vehicle fleet gross drive this increase in usage? Or are we may be seeing people charge at slightly better rates than the 5% of miles driven that you were thinking in the beginning? And are we seeing, potential acceleration of people coming over to the EVgo network as we get more visibility as a public company? I mean, just the presence in the media and the discussion of the financial opportunity, I think jogged a lot of attention, a lot of eyes. I mean, can you maybe help me tease those different things apart?
Cathy Zoi: Yes. I’m going to toss this to Olga now and I’ll round up if there’s anything to add. Go ahead, Olga.
Olga Shevorenkova: Sure. Thanks, Craig. So what we’ve seen the three major factors driving that 48% in network throughput increase. One is the growth seasonality traffic, and the growth seasonality is given by two factors on it. People are coming back and the miles driven are growing exactly, as you have mentioned, so people are coming out of towns, coming back to work and driving more. But also we get all of those customers who add pretty much new traffic to our network, everything we believe and [indiscernible] first half of 2021 results, and you could see in our results, we added – we look to fix a thousand new customers and added more, so those factors contribute to retail. The amount of chargers that the 5% we were estimated, we don’t have any new data which will give us data at this very moment and that 5% has changed. And we have mentioned multiple times in various conversations and in various materials will do things that 5% number will grow over time. We don’t have any evidence suggesting that last six months, that number has changed. So we don’t think that is a factor contributing to the growth. The last factor contributing to growth is an increase in our fleet traffic, and that is driven by two things here as well. One is a lot of fleet drivers, the ride share drivers, they have more work to do now because the economy is back and people are just doing things and moving deliveries and moving themselves between more locations. So we see the increase of driving that’s every day, but also we have the partnerships with autonomous vehicles, which Cathy has spoken in her remarks early about. And those that traffic, we see quite a bit of an increase and take – which contributes to that 48% growth as well. So it’s pretty much growth across our major segments and it’s really opening an economy and it is new drivers so now not the retail drivers to be fleet drivers.
Craig Irwin: Thank you for that. Thank you for that. So one of the things in there, fleets, right, is a very exciting area for the longer run, really drives the model for your company. Can you maybe update us on the experience with public fleets, what the operators are seeing? And is it logical for us to assume that these lower operating costs are credibly something that will support expanding public fleets – rapidly expanding public fleets, just because of the relative opportunity for profitability versus an ice vehicle. And then, can you update us on medium and heavy duty? How is this taking shape for EVgo? Do you see the opportunity for multiple fleet announcements over the next year or two? Or is this something where we’re seeding the market right now and medium and heavy duty is something that’s going to kick in a little bit further out?
Cathy Zoi: Yes. So you rightly note that the growth of the suite segment is important to EVgo’s business plan and business model. The first area, of course, where we were working very closely with fleets and with rideshare. And so we’ve got arrangements with both Uber and Lyft, and as Olga noted, like post-lockdown the Uber and Lyft, rideshare segment is coming back. And as you know, both Uber and Lyft made commitments to go zero emission by 2030. So they’re going to increasingly being electrifying and enabling their drivers to drive EVs. And that’s going to accrue to EVgo’s benefit, because we’ve got and they’re going to be expanding those offerings to more cities across America. So, again, the particular timing is an Uber and Lyft hands, but we’ll keep you posted as we can on that. On the second thing that we’re already seeing that’s really exciting is AV announcement that I talked about. Like the fact that we’ve got two contracts with autonomous vehicle companies that are major players, that they come with taker pay arrangements. Because those guys, if you’re running an AV business, you need to know that when those autonomous vehicles are out on the road, that they’re going to be able to come back and they’re going to be able to recharge back. So that’s super exciting. We have – and again, the light-duty delivery, there’s a whole bunch of activity that’s underway, and we will – we look forward to being able to share that with you when those deals would become inked. The medium and heavy duty as you’ve kind of alluded to, it’s still a supply shortage in terms of the vehicles, right? Like, we’re just – EVgo’s been partnering with a truck company for a long time that they could get access to one truck. And so we’ve been working with them for a couple of years and they’re planning for when they’re going to get their next tranche of trucks – there just as – and that should be coming. But you guys will to talk to the supply side of the vehicle companies to get more insight into exactly when. What I can tell you is that on EVgo side is that we are in active conversations with all of those players, because everybody’s sort of anticipating and seeing that the total cost of ownership of electric trucks, depends on – as soon as you can get the trucks. And so those charging solutions, again, we’re happy to either own the charging infrastructure for these folks and operate it for them, or if they want to put the charging infrastructure on their balance sheets, and we can operate that for them. That’s fine with us as well. There’s no lather rinse repeat model there yet for the fleet segment, but it’s a very, very – I’d say, very active conversations with that market as it develops.
Craig Irwin: Understood. That makes a lot of sense. Thank you. So my last question, I guess, most of us already appreciate the opportunity of having sort of discretionary network build out, right? You’d have the cash from the SPAC IPO, and you get to choose how quickly you’re going to build the stations. The pipeline, the 2000 chargers stalls that you’ve discussed a couple of times. Can you maybe help us understand how many of these 2000 stalls are already, maybe fully permitted or late in the permitting process? How many of these could you move quickly on executing if there was a very attractive subsidy or something that made that the right decision here?
Cathy Zoi: So, yes, we – it varies wildly. I mean, the Active E&C pipeline we're investing capital and we've literally got hundreds of those stalls are in front of local government authorities right now. So they can cut loose very, very fast. And so we can actually move really, really quickly once the permits come good. It's funny as I was thinking about this – about what we're seeing with other, whether it's local government authorities or utilities providing permits and inspections and getting easements, it all reminds me, Craig, and I think you've been in this space a long time, too. It reminds me of solar 10 years ago, right? Like when I was Assistant Secretary of Energy during the Obama administration, I was literally investing billions of dollars to commercialize clean energy technology, like in the forms of grants or tax rebates. And the common refrain that we heard from like the recipients of these grants of the solar business. The solar business was the choke point – the pain point it's permitting. Oh my gosh, what was the Department of Energy eventually did is like issued this sort of best practice set of guidelines. That would be – that was a checklist for the other players in the industry. Like, look, this isn't that hard. Here's what you just need to do to get these rooftop solar projects moving. And that we'd like to think that that was quite helpful. And it probably was. But the thing that was equally helpful was that the industry as an ecosystem got experienced with, and as that experience to hold the timeframes compressed. So I think if you translate that into where we are with charging with ease and electrification of transportation, we're in the early innings now, and all of these players in the ecosystem are just gaining experience. And this is why EVgo goes invented this initiative, created this initiative called connect the watts to help accelerate that and share best practices with local governments, with utilities, with site hosts, retail shopping centers that have never had to set aside a part of their parking lot for charging infrastructure, they just learning how to do that. So all of that, our expectation is that that is going to start to pick up pace. Interestingly, a couple of weeks ago, I did a ribbon cutting at Santa Monica, California. You think of that is ground zero for all things environmental. The first fast charging station that was open in Santa Monica was an EVgo station eight charters a couple of weeks ago. It took us at EVgo seven weeks to construct that. But it was in the planning stages for over 18 months prior to that. Now we're doing another one in Santa Monica right now. That's not going to take settle off, right, because they're now the city of Santa Monica now has experienced. Everywhere, we turn, we're seeing that with more experience that the timeframes compressed. So look, we've got just to get back to the macro sense of your question. We have agreements with major national retail chains that give us a line of sight to a possible – literally tens of thousands of possible locations for fast charging stations, like literally – literally that many. And so once the spot fly wheel starts to spin, we're going to be able to like ramp up really, really quickly again, should the project's pencil. And that's, that is a fundamental thing for EVgo.
Craig Irwin: Thank you for that. And congratulations for the strong quarter out of the gates.
Operator: Your next question comes from mine of Gabe Daoud with Cowen and Company. Please proceed with your question.
Gabe Daoud: Hey, good morning, everyone, and congrats on during the first print in the books, and thanks for all the details so far. Olga, you mentioned supply chain on in your prepared remarks. I was just hoping we can maybe start there obviously bottlenecks and just component inflation has been well-documented just curious how inventory management is progressing at this point and how are your suppliers, I guess, guiding you for the rest of the year. Should we expect continued bottlenecks? And just again, how does that impact your business moving throughout 2021?
Olga Shevorenkova: Sure. So what we have been affected by supply chain bottlenecks yet. We are getting various signals from various suppliers and vendors. There is varies that might come later and what we have done and we've been doing right from the beginning of the year, we're managing our risks and we're preemptively placing orders much earlier than we used to do in order to secure our supply. So we have done it with charges, we have done it with various components, and we're constantly monitoring the situation. What we have also done, we have identified a few critical components for example, cables, and we started diversifying our vendor base and supply base to make sure that we have as far reach as possible. So we have, from our perspective, we have done all precautions possible. We have pre-ordered equipment through Q1 2022, pretty much. So we don't have it in our warehouses, but the supply has been secured and we continue very closely with very high degree of attention, monitor the situation and react quickly to information. Unfortunately, this is the world will live in this situation changes day by day, and we are pretty clear that about it and ready to act quickly when we need to. But as of now, nothing serious has happened to our rest of the year supply and it hasn't affected us to high degree yet it might, but hasn't happened yet.
Gabe Daoud: Okay, awesome. Thanks, Olga. That's super helpful. And then maybe just sticking to or just going back to the financials just for a second. If I look at 2Q capital of about $15 million against 104 installs would imply, I guess, $144,000 per install, and I guess it could recognize it could be other numbers in that capital figure that could also be timing differences between costs incurred and just kind of cash out the door. But curious, is that fair? Is that the right way to look at it? Or, again, just kind of maybe worried about cost inflation impacting that install number of per port?
Olga Shevorenkova: Yes, that's a fair question. So first we haven't noticed yet again, we're observing the same cost we were projected and quoted this number multiple times, including early in my remarks of average of $110,000 per install. The math you're doing it is there's a very natural math wherever your mind is going, but unfortunately that's probably not the right way to look at it because time and effect is huge. As Cathy mentioned, answering the previous question, it might take up to 18 months to fully develop the station. And despite the fact that construction only takes seven weeks, you're prepaying the equipment you started spending cutback much earlier than that the station goes into operation. So in that $22.2 million of cutbacks in Q2 in terms of that is not related to those 104 charges we're putting the durations. It's a lot of charges which are going to go into operations, Q3, Q4, and even Q1. So the time in here is really not a friend when you're trying to do that estimate. But again, as we're seeing and monitoring our records, we haven’t seen inflation effect as for anything which was spent to date, but we will, if we see that, in fact, we'll update you next time we speak in Q3.
Gabe Daoud: Great. That's super helpful. It makes a ton of sense. And then just last one for me, and this question comes up a lot amongst investors. And it just curious if you could share some thoughts around Tesla, potentially opening up its supercharger network and how that could impact your business and potentially take some flow if you will on a kilowatt hour basis from EVgo, is there any kind of level of risk embedded in your forecast from like the spec materials that kind of that potentially accounts for this, or just how should we be thinking about this potential moving forward?
Cathy Zoi: Look, the macro driver here is, is there's going to be a gigantic growth in EVs, right? I mean, BNF updated its forecast in the spring. I mean, it's just this – so this significant. So we and what we need is if you ask drivers, what we need is more chargers to satisfy that demand. So that's sort of the first point. Second point is that EVgo and Tesla have – had a really good relationship. And as you know, EVgo is the only network that Tesla has sort of admitted to have kind of , Tesla connector on our chargers. So that we can charge any car and what we're seeing and we've now got, I think, 400 of those connectors out there. What we're seeing is about 10% of our new accounts are from Tesla drivers. So we're actually got – we've actually got the flow coming in our direction, which is fascinating. The practical implication we think of what – what if Tesla opens up its charging network out to other non-Tesla vehicles, it's likely to happen in Europe, first, because of the engineering issues associated with the CCS cables on the Tesla’s in Europe, they don't do that here. And so we – there's we all be watching, what the tweet say about what the attack was going to do, but we're actually thinking that this is the overall macro is if the charging network needs to expand and grow. So we're full steam ahead on our build plan. And there's nothing particularly that this announcement does do affect our forecast for market share, growth and throughput, et cetera.
Gabe Daoud: Got it. Got it. Very clear. Thanks, Cathy. Thanks again, Olga.
Cathy Zoi: Sure.
Operator: Thank you. Our next question has come from the line of Jon Lopez with the Vertical Group. Please proceed with your question.
Jon Lopez: Hi, thanks very much. I appreciate you taking the questions. I had two quick ones, I guess they're probably mostly for Olga and the first one feels dumb, so I apologize for it in advance, but, it's through hour – your gigawatt hours were up 49% sequentially, why was revenue up 16%? Like what was the offset?
Olga Shevorenkova: Sure. That's not a dumb question, Jon. That's the question I'd be asking as well. So, the difference here comes mostly from our take or pay contracts, take or pay contract by definition, they have a fixed revenue income and they come, the revenue comes before the throughput comes. So, we see a ramp up of the throughput, and we've seen it throughout the second quarter. And we – the contract started paying in the end of first quarter, and that contributes to that difference. Another reason is, we'll see and have those membership revenues and our retail side, people paid for the month, 7 99, and then they using it. And we have certain breaks in it. We're seeing that with the growth of usage, we'll see less and less breakage. So that contributes to Q1 has more breakage than Q2 on a relative basis. So, that contributes to that as well. And as still factor contributing to it, we ran certain promotions in April and may to commemorate the end of pandemic as part of our marketing strategy. And we gave people $5 off, and that contributed a little bit to kind of a lower kilowatt hour – realized lower revenue per kilowatt hour in Q2, but we haven't changed priced in since pretty much, 2019, but that certain promotion that was also a contributing to that.
Jon Lopez: Gotcha. Thanks. That's really helpful, Olga. My second question is, or just, I guess clarification, if you will, about the 2021 commentary, excuse me. So the first one is, obviously Recargo, I guess, was really not contemplated before. Is there any contribution that you expect from Recargo in the financials for the second half of this calendar year?
Olga Shevorenkova: So Recargo is – therefore, it's a very small contribution, it's a tiny company and they haven't been successful in commercializing their great technologies. That's why we see them at a very attractive valuation, and that's what we will be doing. So for the remaining of 2021, again, very small contribution and that's that didn't materially change our guidance. So, we decided not to update it.
Jon Lopez: Gotcha. And sorry, the other clarification there, I think I heard you say, you guys are good with attestation count target, excuse me, in a couple of months, but like, if you're not sure on the attestation count, how can you be sure on the revenues?
Olga Shevorenkova: That's a great question. Thanks. So, let me explain what truly drives our revenue. There are two main factors, which drive on revenue. One, it's a gross in and then new customers were getting when they purchase NAV and two, and the ability of our network to accommodate the traffic, the growing traffic right now, our network has capacity to accommodate all the new traffic, which is coming in. And we do not see our data ability to be impaired in the short term. So, we are absolutely prepared to take all the new traffic with the charges we have and that doesn't impact our revenue doesn't impact our throughput. In the mid-term and long-term, we are committed to construct and more charges to accommodate that growth in traffic, but in the short-term that doesn't really move the needle on us generating throughput and revenue, because we do have capacity to take all the new costumers off.
Jon Lopez: Gotcha. Really helpful. And so if I could just sneak one last one in, I obviously I've got, I'm happy to hear your thoughts on it, someone, or if Cathy could chime in as well. I wanted to come back to the Tesla dynamics a bit, and maybe [indiscernible] ElectriFI because in both those cases. I mean, I think ElectriFI now is planning to double, and I think they said, they're going to exceed that initial $2 billion they were planning to spend in the Tesla dynamics are obviously new. So, I guess my question for you here, Cathy is just, if you think about the stations that you've specked out or sites that have historically maybe looked attractive to do any of those calculations change when you contemplate maybe a change in supply, can you talk through those dynamics at all?
Cathy Zoi: Yes. Well, so I think, Jon is as older outline, we'd look at every single investment through the lens of kind of looking at an eight years and what's the utilization likely to be, and we can take those decisions discreetly on an investment by investment basis. And then that data is always quite up-to-date part of the algorithms like that's in our sort of proprietary utilization tools is how many other charters are nearby. So if, for example, like one of our competitors or a utility decided to build a whole lot in a particular area, we could immediately say, what, let's actually a better use of that capital will be in this other place. So this is the beauty of our business model is that we can kind of pivot on a dime and only build where the projects pencil. So, I'm really, really, it's – I've been in the clean energy space for a long time, and I've been in the energy sector since I graduated from college. What I love about, about this sort of place in the energy ecosystem is the flexibility, the granularity of the individual investments that give us so much agility of being able to deliver value.
Operator: Thank you. Our next questions come from the line of Stan Shpetner with Pickering Energy Partners. Please proceed with your questions.
Philip James: Good morning. This is Philip James on first Stan Shpetner, thanks for making time for our question. With respect to the INVEST in America Act, could you comment on how grants potentially reducing your effective CapEx per DC fast charger, could impact capital investment plans as well as a return on capital and a path to positive free cash flow?
Cathy Zoi: You bet. So the way, the way this is likely to work is that there's going to be chunks of money that get distributed probably to the states, as their local Departments of Transportation. And then the rules that that the kind of the rules and the guardrails around how that money gets specifically allocated in those jurisdictions are probably going to be done at that level. And what we've seen is if what we've seen through the appendix Volkswagen grants is any indicator of how the future might work states are doing it differently. So some states like, we've got Virginia which pay, which covered 75% of the capital of rolling out in Virginia, with other – either other jurisdictions where the states have decided to do a 50% is others where they actually do a kind of a reverse auction possibilities. So, the answer is there's no single answer, but there will be some sort of anywhere I'm guessing from 20% to 80% CapEx coverage. What we then do is, we put that into our model and it makes it deuces the returns, in those particular locations. So it's, we haven't modeled that for any of our forward. Any of the perspective, federal money, everything that we're building now is based on real, grants that are available now. So what this does is this will provide some upside and, or will allow us to get into markets that might not otherwise come through without it. So for example, rural locations or quarters, that are not really in our schema now, because there aren't enough CVS to make them pencil without the grants, they'll allow us to spread our footprint more quickly and profitably.
Philip James: Great. I appreciate the color. Thank you.
Operator: Thank you. There are no further questions at this time. With that that does conclude today's teleconference. We do appreciate your participation. You may disconnect your lines at this time. Wish you a great day.